Executives: Richard D. Downey - Vice President-Investor & Media Relations Charles V. Magro - President, Chief Executive Officer & Director Steven James Douglas - Chief Financial Officer & Senior Vice President Harry Deans - Senior Vice President & President, Wholesale Business Unit Stephen G. Dyer - Senior Vice President, President-Retail Business Unit
Analysts: Ben Isaacson - Scotiabank Global Banking and Markets Stephen Byrne - Bank of America Merrill Lynch Peter Prattas - AltaCorp Capital, Inc. Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker) Jacob Bout - CIBC World Markets, Inc. Steve Hansen - Raymond James Ltd. (Broker) Andrew Wong - RBC Dominion Securities, Inc. Mark Connelly - CLSA Americas LLC Adam L. Samuelson - Goldman Sachs & Co. Yonah Weisz - HSBC Bank Plc (Tel Aviv Branch) Joel Jackson - BMO Capital Markets (Canada) Matthew J. Korn - Barclays Capital, Inc. Don Carson - Susquehanna Financial Group LLLP Daniel Jester - Citigroup Global Markets, Inc. (Broker) Sandy H. Klugman - Vertical Research Partners LLC Michael Leith Piken - Cleveland Research Co. LLC John Roberts - UBS Securities LLC Jeffrey J. Zekauskas - JPMorgan Securities LLC Charles Neivert - Cowen & Co. LLC
Operator: Greetings and welcome to the Agrium Fourth Quarter 2015 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Richard Downey, Vice President of Investor Relations and Corporate Relations. Thank you, you may begin.
Richard D. Downey - Vice President-Investor & Media Relations: Thank you, operator. Good morning, everyone, and welcome to Agrium's 2015 fourth quarter conference call. On the phone with us today is Mr. Chuck Magro, President and CEO of Agrium; Mr. Steve Douglas, our CFO, and the rest of our executive management team to review and discuss our results. As we conduct this conference call, various statements that we make about future expectations, plans and prospects contain forward-looking information. Certain material assumptions were applied in making these conclusions and forecasts. Therefore, actual results could differ materially from those contained in our forward-looking information. Additional information about these factors and assumptions are contained in our current quarterly report to our shareholders, as well as our most recent annual report, MD&A, and annual information form filed with Canadian and U.S. securities commissions to which we direct you. I will now turn the call over to Mr. Chuck Magro.
Charles V. Magro - President, Chief Executive Officer & Director: Thanks, Richard. Good morning, everyone, and welcome to Agrium's fourth quarter earnings conference call. It has been a time of turmoil in the global economy over the past several months, particularly for most commodities and many global currencies. A key advantage of the agricultural market is that, unlike many other commodities, demand for grains and oil seeds and the crop inputs that are needed to grow them, increases consistently over time. Agrium is the leading provider of crop inputs in agricultural solutions, helping growers meet this ever-increasing demand for food and the long-term outlook for our business remains robust. Our integrated strategy and strong competitive position across our products and business lines ensures our continued profitability even in a cyclical downturn and creates opportunities for us to invest in a countercyclical manner. This strategy paired with our capital allocation priorities will support free cash flow growth and strong shareholder returns. I'm pleased to report Agrium delivered strong earnings yet again this quarter and for the year. We've realized significantly higher fourth quarter EBITDA across each major business and nutrient product line, compared to the same period last year. This was achieved in spite of significant commodity price headwinds and less than ideal fall application weather conditions. At $1.52 adjusted earnings per share, this was our second highest fourth quarter earnings on record. It's also important to note that this figure includes $18 million or $0.10 a share of restructuring expenses related to our Operational Excellence efforts. Over the past year, Agrium demonstrated our resilience and strength of our business model in the weak commodity price environment. We have focused on those factors that we can control and have succeeded in taking significant costs out of our business, improving our operating reliability and optimizing our portfolio of assets and locations. We believe this will allow us to grow our earnings and free cash flow, so that we will be able to continue to invest in our business and return capital to shareholders. We achieved free cash flow per share of $8.59 in 2015. This strong free cash flow generation demonstrates that our investment thesis is very much intact. These results have been supported by our ongoing focus on Operational Excellence and continual improvement of our assets and operations. Our consolidated selling, general and administrative expenses were down $54 million in the fourth quarter and an impressive $158 million for the year. We have continued with our portfolio review, and recently completed the sale of our West Sacramento nitrogen upgrading facility, realizing proceeds of $27 million with no impact to our ongoing earnings. We are continuing to review and optimize our distribution network, closing some locations and converting others to either large supercenters or satellite locations in order to further lower costs and reduced working capital. Our focus on plant reliability has also been very successful with our Wholesale production facilities now running at top of class utilization rates. We have been tracking our overall Operational Excellence financial results and have so far achieved well over $200 million of recurring EBITDA and over $600 million of one-time realizations and working capital sales. We've also continued to deliver value-added growth and have recently achieved several milestones in this area. We completed our Canpotex proving run at the end of 2015 and our Canpotex allocation has risen about 40%, reaching 10.3% of total Canpotex sales volumes. This took effect January 1, and as a result, we expect much of the year over increase in our potash sales volumes to be directed to the international markets in 2016. It is also worth noting that we successfully completed the Canpotex run in very short order after the mechanical completion of the expansion in late 2014. In addition, our Borger, Texas nitrogen expansion project is on budget and on schedule as per the revised scope. In Retail, we added 39 tuck-in locations in 2015 and January 2016, adding approximately $30 million of recurring EBITDA. We expect to increase the pace of these small acquisitions in 2016 as our pipeline remains full. Specific to our fourth quarter results, we grew our fourth quarter Retail EBITDA by 10% despite the fall application window being impacted by adverse weather conditions. Our bottom line earnings were supported by a strong focus on cost control, tight inventory management, and increasing market share as our U.S. normalized comparable store sales were up 2% year-over-year. We also achieved record earnings in Australia, which is impressive considering the significant depreciation of the Australian dollar relative to the U.S. dollar. Retail nutrient gross profit was largely unchanged as lower sales volumes, particularly for fall ammonia, were offset by higher per tonne margins, despite weaker nutrient prices. We have carefully managed our nutrient inventory levels and we ended the year with U.S. inventory levels, 8% lower than the end of 2014. On the crop protection shelf, we achieved an increase in gross profit following strong herbicide applications in the U.S. Supporting these results was further growth from our proprietary products, which increased as a percentage of total sales on a year-over-year comparison. The Wholesale business results were also impressive this quarter with EBITDA more than double last year's level, demonstrating strength across all three nutrients. The 65% increase in nitrogen gross profit over the fourth quarter of 2014 was achieved due to a combination of higher sales volumes and lower cost of products sold, more than offsetting weaker nitrogen selling prices. Potash gross profit was also significantly higher this quarter as we were running at higher rates for the Canpotex proving run as compared to the outage taken in the fourth quarter of 2014 for the expansion time. The higher operating rates supported increased sales volumes and much lower cost of products sold. In fact, our cash of cost of product manufacturing came in at a record low $64 per tonne this quarter. Our annual cash cost of product manufactured was $96 per tonne in 2015, and we expected to average 10% to 20% lower in 2016 as we continue to ramp up post expansion production levels. At this point, I'd like to turn the call over to Steve Douglas to discuss our capital allocation plan and the annual guidance.
Steven James Douglas - Chief Financial Officer & Senior Vice President: Thanks, Chuck and good morning, everybody. Our capital allocation priorities have been clearly articulated and we have not deviated from these goals. We expect our free cash flow to grow meaningfully over the next five years and expect to increase our dividend in line with that growth. Our capital expenditure peaked in 2014 and we expect another significant reduction in 2016 to approximately $850 million. We have a strong balance sheet with only $100 million of long-term debt repayments coming due in the next three years and $600 million in the next five years. As such, we are well-positioned to provide excellent shareholder returns. In 2015, we increased our dividend by 12% and have increased the dividend every year for the past four years. In addition, we have been repurchasing shares on an opportunistic basis and we purchased approximately 4% of our shares outstanding last year. To that end, given our philosophy of always being in a position to repurchase our shares where disconnects exists between our view of intrinsic value and market, we will be renewing our normal course issuer bid in the near-term, which would allow us to continue to repurchase our shares. We issued 2016 annual guidance today, projecting earnings per share in the range of $5.50 to $7 per share. This takes into account the significant pressure we have seen on nutrient prices over the past few months. Despite the current compression in nutrient prices, we do see potential for some improvement in nitrogen prices as we move into the spring application season and beyond. As is often the case, we expect a slight loss in our first quarter earnings given that this is a seasonally slow quarter. We anticipate our potash production in sales to approach 2.5 million tonnes in 2016. This represents approximately 80% of our full nameplate capacity and is consistent with our original post expansion mine ramp-up plan. We are forecasting growth in our Retail earnings this year in spite of significantly lower nutrient prices. This will be driven by our organic growth levers, such as increased proprietary products as a percentage of total sales, continued focus on footprint optimization and cost reduction, as well as tuck-in acquisition. I invite you to review our full guidance disclosure, including our operational guidance and assumptions in the fourth quarter earnings release. As is our practice, we will be providing quarterly updates to our guidance range as we move throughout the year. I will now turn it back to Chuck to provide his thoughts on the outlook for the balance of 2016.
Charles V. Magro - President, Chief Executive Officer & Director: Thanks, Steve. While our guidance illustrates the headwinds associated with lower nutrient pricing in 2016, there are some variables showing positive signs for the season ahead. We believe that growers in North America will plant historically high acreage in 2016, which should support robust crop input demand. Looking at the U.S. specifically, we expect growers to plant 1 million to 3 million more acres of corn due to stronger grower margins for corn than for soybeans and given the U.S. acreage that was not seeded last year due to excessive moisture in the spring. In Canada, weakness in the Canadian dollar leads to more attractive crop pricing domestically, which should support a higher planted acreage this year. The increase in total North American acreage should support demand for crop inputs and services. However, grower cash margins are relatively tight, which will cause many growers to manage their crop input use as effectively as possible. Crop nutrient prices have seen significant declines in late 2015 and early 2016, driven by ample supply and sluggish demand factors. Many key global currencies have also weakened compared to the U.S. dollar, which has lowered the cost curve for all nutrients and negatively impacted demand in many regions. We had expected a strong fall application season in the U.S. However, unseasonably warm and wet weather resulted in much lighter demand for nutrients in the fourth quarter. In fact, December was the warmest and wettest December on record. Growers are usually not able to fully make up for weaker fall application season in the spring. However, the increase in expected acreage combined with the below-average fall application season should result in strong spring demand. Global urea prices have recently been trading well below global high cost of production. However, production within China has remained higher than expected. Chinese urea exports in the second half of 2015 were down 26% year-over-year, while Chinese production costs have declined due to weaker coal prices and currency devaluation. Selling prices have come down significantly more than that. As a result, we expect to see further reduction in Chinese exports in 2016, and our estimate is for 12.5 million tonnes to 13.5 million tonnes of Chinese urea exports this year. In potash, we estimate global shipments for just over 58 million tonnes in 2015. And we expect 2016 shipments to be similar to slightly higher in 2016. Both retailers and growers across global nutrient markets have been on the sidelines, waiting for improved market stability before buying in volume. Although purchases have been slow so far, we believe we will see increased buying as the spring season approaches. Fertilizer prices are highly affordable with fertilizer cost as a percentage of corn revenue well below historical levels. The benefits of our strategy and competitive strengths were readily apparent this year. The relative stability and continued growth potential provided by our downstream operations even in periods of commodity volatility is critical to our strategy. When you combine this with our competitive strength within our Wholesale business, including our low cost and in-market position, you have a unique business combination that is resilient and one of the leading crop input providers in the world. We will maintain our focus on maximizing the benefits and synergies from our portfolio of assets and we'll continue to grow our earnings and free cash flow, as well as invest back into the business, which is consistent with our investment thesis. As a result, I believe that our shareholders will be well rewarded for their investment in our company, as we continue to pursue our vital mission of supporting global food production. With that, I'd like to turn the call over for questions.
Operator: Our first question comes from the line of Ben Isaacson from Scotiabank. Please proceed with your question.
Ben Isaacson - Scotiabank Global Banking and Markets: My question, maybe this is for Steve Dyer, on the Retail business, your gross margins were very, very strong and you cited strong year-end rebates and lower OpEx. Can you explain why they were so high? And is this sustainable going forward, especially in an environment where the C$ went down, which I thought would've put some margin pressure on the Retail business?
Charles V. Magro - President, Chief Executive Officer & Director: Yes, Ben. Yeah, in terms of the chemistry in particular on the margins, as we mentioned, overall, our chemistry sales were very strong through the year, and which put us in a position to with our suppliers in terms of our rebate programs that we have. So we had very good performance against them, which allowed us to basically have consistent margins year-over-year from that standpoint. And then on the fertilizer side, again, very pleased with our margin performance this past year, especially in a declining market and definitely in the last quarter. And just a reminder, if you take a look at our fertilizer margins, yes, we have the underlying commodity, but we do provide a lot of services, everything from blending to applying of the fertilizer, as well as our nutritionals as well they provide a lot of support for that underlying margin as well.
Operator: Our next question is from the line of Steve Byrne from Bank of America. Please go ahead.
Stephen Byrne - Bank of America Merrill Lynch: Hi. With your increased allocation in Canpotex, my question for you is, are you obligated to supply that 10 percentage points or so of Canpotex volumes? Or if your netbacks are more favorable by shipping into the U.S. market, can you preferentially move product that way and do you still have enough capacity in that Retail network to boost those volumes even further?
Charles V. Magro - President, Chief Executive Officer & Director: Hi, Steve. It's Chuck. I'll have Harry Deans, our President of Wholesale take your question.
Harry Deans - Senior Vice President & President, Wholesale Business Unit: Hi, Steve. Yeah, our Canpotex allocation went up from 7.3% to 10.3%, which equates roughly to about 500,000 tonnes of additional volume. We are obligated to supply that proportion to Canpotex. Obviously, it depends on the amount of product that Canpotex actually sells worldwide in 2016 with current estimates of looking like approximately 11 million tonnes of product.
Charles V. Magro - President, Chief Executive Officer & Director: Yeah. And Steve, I would add just that, we think that we can supply our Retail business and our Other – our Retail customers in North America with sufficient product. But there's not a decision at least this year that we see that we have to make whether we need to bring more into North America. Maybe one day we'll be faced with that decision, but today we think that there is a nice solution with the increase in the Canpotex allocation plus Vanscoy increasing its production volumes. We should be able to supply our Retail business, our North American customers and our international customers. So it's a nice solution for Agrium.
Operator: Our next question comes from Peter Prattas from AltaCorp Capital. Please go ahead.
Peter Prattas - AltaCorp Capital, Inc.: Good morning, guys. It seems like you've made some tuck-in acquisitions or were quite active during Q4 there, although some of them didn't close till January. All right? And then you mentioned there that you have a full pipeline going forward. So I'm just wondering, is that full pipeline reflective of an increase of available Retail centers out there or are you being more aggressive or have the valuation metrics changed at all and are you moving ahead on any greenfield builds? Thanks.
Charles V. Magro - President, Chief Executive Officer & Director: Peter, we'll have Steve Dyer address that question for you. Go ahead, Steve.
Stephen G. Dyer - Senior Vice President, President-Retail Business Unit: Hi, Peter. Yeah, in terms of the pipeline, we continue to see it very strong. Our expectation is it should be stronger than we've seen the last couple of years. And from an overall pipeline – you mentioned valuation as well, we've seen a little bit of uptick in the valuation. We've historically talked about a five multiple before synergies. This year we were just under a six multiple. So a little bit of price increase, but not a substantive amount from that standpoint. And then your question around the builds, we are looking at where we don't have good acquisition targets, we are – and that are good markets, we are looking at doing some targeted building of new facilities as well, and we'll be starting that through this year.
Operator: Our next question is from Chris Parkinson from Credit Suisse. Please go ahead.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker): Perfect. Thank you. Can you give us a quick highlight on where you believe inventory levels are across the Retail chain for various forms of nitrogen? You touched on this a little, but to what degree do you believe it exists for pent up demand specifically for nitrogen for spring applications, given your view on corn acreage? It sounded like in your prepared remarks you were a little cautious on this, at least in terms of your base acreages assumption, give us a little more color there. Thanks.
Charles V. Magro - President, Chief Executive Officer & Director: Yeah. Chris, what I'll do is, I'll have Steve Dyer talk about where our Retail business inventories are and then, I'll have Harry Deans to talk about where the rest of the Retail channel is from our perspective. So, go ahead, Steve Dyer?
Stephen G. Dyer - Senior Vice President, President-Retail Business Unit: Hi, Chris. Yeah. Just starting off, the first comment I'll make is, we did have a fairly weak fall season particularly in the U.S. due to the weather on ammonia application. So our expectation is coming into spring season that we should have strong nitrogen demand. And just commenting on our inventories, right now, as Chuck mentioned, at the end of the year, our inventories were down around 8% year-over-year. We've been managing it very closely. So, I'd say right now, we're at pretty normal inventory levels heading into the spring season here, but we've been managing them very carefully. But, again, as I mentioned, we expect demand on nitrogen to be quite good.
Harry Deans - Senior Vice President & President, Wholesale Business Unit: And Chris, on the Wholesale side, we finished 2015 nitrogen at lower levels of inventory than 2014. So, a tale of two halves really but because we had slightly higher ammonia stocks and much lower urea stocks, what we're seeing out there is that growers and customers have been pretty cautious and they are putting off buying decisions to later on when they can get sight of spring and we're waiting for that to happen.
Charles V. Magro - President, Chief Executive Officer & Director: And, Chris, may be just a little bit more color. So, actually the management team is sitting down here in the Florida at the TFI event for the last two days, and generally speaking, there is a lot of buying that still needs to happen. So, retailers have been cautious, as Harry mentioned, and there is a lot of discussion about the need and the sheer volume of purchasing that still needs to happen on behalf of the retailers to get ready for the spring season. So, I think there is some good news coming out of the TFI event this year.
Operator: The next question is from Jacob Bout from CIBC. Please go ahead.
Jacob Bout - CIBC World Markets, Inc.: Hi, good morning. My question is on your Operational Excellence program. Maybe first part of this just talk a bit about your cost savings to date. How has this program evolved, and what new areas you're exploring currently? And then, maybe if you can just talk a bit about 2016 guidance, and what you baked in for cost savings?
Charles V. Magro - President, Chief Executive Officer & Director: Okay. And Jacob, the Op Ex program (23:12), we're kind of in year two now, very pleased with the result, broadly speaking, a total of almost $800 million, $200 million of recurring EBITDA, and the remainder being one-time with working capital. Really, the focused areas have been on SG&A, on plant utilization in Wholesale business, and on the network and purchasing and logistics leverage from having a Wholesale and Retail integrated under one roof. And we've seen so much benefit from really thinking through those broad areas. I think the answer is that we're really just getting started. We're going to provide you a little bit more information in the middle of the year at our Investor Day, but we think that certainly the trend can continue. So to your question in guidance, we have baked in a little bit more Operational Excellence improvement but to be honest with you, in the 2016 guidance it's quite conservative and we think that it's really at our finger tips and we're going to really work our darndest to continue to driving through integration synergies that we find basically every day.
Operator: Our next question is from Steve Hansen from Raymond James. Please go ahead.
Steve Hansen - Raymond James Ltd. (Broker): Yes. Good morning, everyone. Just curious about the nitrogen price realizations and noting that they were actually quite good in the quarter relative to some of the benchmark levels and just wondering if you would give some sort of color on as to why that might be and whether that's a lag effect or if it's just a mix issue and something that we should continue to see going forward? Thanks.
Charles V. Magro - President, Chief Executive Officer & Director: Harry Deans?
Harry Deans - Senior Vice President & President, Wholesale Business Unit: Yep. Of course, Steve, we have the end market premiums that we had out in the marketplace. So we'd like to sell close to our plants, which helps us out in terms of our margins and I think some of it is due to a lag effect in the market place. We're starting to see slightly lower pricing come through now and January of this year.
Operator: Our next question is from Andrew Wong from RBC Capital Markets. Please go ahead.
Andrew Wong - RBC Dominion Securities, Inc.: Thanks. Good morning. So, just going back to cash flows and dividends and how you allocate capital, so you've mentioned in the past, your business model supports counter cyclical investments and you aim to have a balance between capital return and spending. So thinking about where we are today in the ag cycle, we're probably at the lower end of the ag cycle I would think. Have you considered diverting more capital to growth opportunities versus capital for share buybacks or dividends?
Charles V. Magro - President, Chief Executive Officer & Director: Yeah. Andrew, it's Chuck. I'll take your question and then, I'll ask Steve Douglas to provide his views as well. So the short answer is we think we have either the cash generation or the balance sheet to do it all. We like the dividend strategy that we laid out just last year, 40% to 50% of the free cash flow going to a growing and sustainable dividend. That will not change. We think that that is a core tenet for our company because of the diversity, the integration of our portfolio and our mix, having a dividend that is sustainably growing I think complements the strategy for the company. But we also think we have a lot of capital flexibility that I have Steve Douglas talk about, to either have competition for capital to buyback our stock or in the countercyclical market that we are today to look for M&A opportunities, whether that be Retail, acceleration of Retail growth or even Wholesale production assets that may come available at this part of the cycle. So, Steve, why don't you talk about that financial flexibility?
Steven James Douglas - Chief Financial Officer & Senior Vice President: Sure. Thank you, Chuck. And thank you, Andrew. I've always been schooled that look, you function within the confines of the capital that you have and you do the best you have with it. I've also been schooled and believe firmly that dividends are a cost of capital of a public company, organization and expectation of shareholders and a very reasonable one. And I think what Chuck pointed out was from a financial horsepower perspective, as has been written and talked about on many occasions, we're coming off a cycle of heavy investment. We're going in to a cycle that we think is low relative to what long-term pricing is going to be, so that would argue it presents an opportunity. I think if we're good stewards with our capital, regardless of payout ratios, I functioned in a world where in many cases you pay out a 100% of your cash flow and you're still allowed to grow provided you prove you are good stewards of capital. So I think Chuck said it best, when we did strike that capital allocation policy, it was an attempt to balance out the needs of growth versus dividend and cash returns and it's something we are constantly evaluating whether it's in fact buying back our own stock or is it out there that there is a productive asset or tuck-in or Retail acquisition that in our view in the long term provides a higher return above the cost of capital. So I think when Chuck says we can do it all, we're clearly cognizant that we function within a capital base that is not infinite. But I think if we're good stewards of that, we can absolutely pursue growth initiatives where our shareholders view it as value-added to the overall picture.
Operator: Our next question is from Mark Connelly from CLSA. Please go ahead.
Mark Connelly - CLSA Americas LLC: Thank you. You've done a ton of work to restructure and reposition Australia, mostly successful I think. Should we assume that that's pretty much done at this point?
Charles V. Magro - President, Chief Executive Officer & Director: Hi, Mark. Yeah, we're very pleased with Australia record earnings in U.S. dollars considering where the Aussie dollar went, very, very pleased with the performance and the management team down under, but I'll have Steve Dyer talk about the future for Australia and where we think we can take it.
Stephen G. Dyer - Senior Vice President, President-Retail Business Unit: Yeah, hi, Mark. Yeah in terms of, again as Chuck said, we're very pleased with the performance there but we do see further opportunities to again drive some more efficiencies in that business as well as continue to grow that business as well. We've got a great footprint there today. We've done a lot of work in doing some consolidation there, taking out overhead costs, improving margins but with that footprint that we have there today, we're now really focused on how do we grow our market share there as well. Looking at potentially acquisition opportunities, we have done some over the year, but we still see some opportunity to improve that business even further.
Operator: The next question is from Adam Samuelman (sic) [Samuelson] from Goldman Sachs. Please go ahead.
Adam L. Samuelson - Goldman Sachs & Co.: Yes. Thanks. Good afternoon, everyone. So, maybe a question on the nitrogen market, and given the sharp fall that you've seen in urea and ammonia values, really the lack of any curtailments or obvious curtailments in China. I'd like to get your thoughts on how the cost curve has evolved, and maybe where you see pain points for different producers today. And as a corollary to that, would it be a fair characterization of the guidance at the low end to say that you've assumed basically spot pricing for the balance of the year with no improvements is how you roughly get to the low end of the EPS guidance range? Thanks.
Charles V. Magro - President, Chief Executive Officer & Director: Hi, Adam. Yeah. So let's start with China. Look, the market prices are well below the cost of production today. In fact, our intelligence would suggest that 80% of Chinese producers are losing money right now. So obviously economically, this is not sustainable in our view. And if it was just an economic decision, I think you would see some things that are different. So, I can't tell you what will happen, but I can tell you what should happen, which is there needs to curtailment and then correction in the supply demand. When I look at our nitrogen business, just on the other end of the cost curve, low cost gas in North America, 80% of our production being in Canada with the ACO (31:26) advantage, our higher volumes from our focus on reliability, a low Canadian dollar and in-market premium, and not to mention, we have 260 Retail facilities surrounding these nitrogen plants, I would say that that is a portent of storm. Now to your question on guidance, the low end is exactly what how you've described it is, at today's pricing levels, you will roughly come around to the low end of our guidance range, if you consider nitrogen.
Operator: Our next question is from the line of Yonah Weisz from HSBC. Please go ahead.
Yonah Weisz - HSBC Bank Plc (Tel Aviv Branch): Yes. Hi there. I'd like to ask you about potash. You're guiding for between 2.4 million tonnes and 2.6 million tonnes of production, would you be able to talk about what you think actual sales could be? And given how I think your increased volumes, your increased output over 2H 2015 maybe in part have led to a dropping in potash prices in North America over that period. Would you be at all considering taking a bit less potash sales into North America in order to some extent support prices, or is there a trade-off between price and volume in North American sales for you?
Charles V. Magro - President, Chief Executive Officer & Director: Okay. Well, maybe I'll start at the high-level of our strategy and then, I'll have Harry just talk about his sales plan. So, I don't think anything has changed from our perspective. We always match supply to demand. You've heard our view of international shipments being flat to slightly up. It's a little too early to tell; we need to see what happens with China contract. But needless to say, when we look at our increased volumes year-over-year with the new Canpotex allocation, as I mentioned in my prepared remarks, we think that will absorb a lot of that new capacity, as well as our Retail business will continue to take a significant amount of our potash in North America. We feel very good that we can sell out our plant, but Harry maybe you can talk about the specifics.
Harry Deans - Senior Vice President & President, Wholesale Business Unit: Yeah. Thanks, Chuck. As you know, following our excellent Canpotex run at the end of last year, we increased our allocation for Canpotex and that equates to about 0.5 million tonnes of additional volume to be sold into the international market. We're on a three-year ramp up following the investment in Vanscoy and we're in year two. So of that 0.5 million tonnes, virtually all of that would go into the international market. On top of that, last year, we actually purchased some volumes of potash for resale and we won't be doing that this year, we'll be supplying it from our own mine. We've got our obvious strategic partners, where we sell our product to and we'd be continuing to sell through them in North America. And, of course, we've got an advantage that lots of others do not have and we've got a sister company in Retail that can take more of our potash.
Operator: Our next question is from Joel Jackson from BMO Capital Markets. Please go ahead.
Joel Jackson - BMO Capital Markets (Canada): Hi. Good morning. Maybe I'll follow up on that line of questioning. You are projecting about a 1 million tonnes weaker potash demand in 2016 than your Canpotex partner PotashCorp. You've also said that demand in 2015 was about a 1 million tonnes lower. So have you figured out where you differ? Are you getting different information from Canpotex than what PotashCorp is? And then, also, if you do project demand to be a bit lower than some of your Canpotex peers, but you are slightly raising how much production you're going to do in 2016, is there some risk that your Canpotex partners could feel a bit stressed by this? Thanks.
Charles V. Magro - President, Chief Executive Officer & Director: Hi Joe, it's Chuck. Your questions are always very interesting. So look I'm only going to talk about our view and our position, I don't think it's appropriate for me to talk about stressing our peers. So, first of all, our view of 2015 shipments, the technical exact number is 58.5%. So I don't think we differ all that much. And then our view, just to be clear, for 2016 is flat-to-slightly up and the reason we're saying that today is we think there is going to be some certainly some growth in North America and most likely India, and probably Brazil. I think the one area that we're a little cautious on right now is China and that's simply because we're in the middle of a negotiation and until we see what happens with China, what we can – we'll update this number as we learn more but there is just too many, there is too many unknowns right now to really get overly bullish in terms of what China will or won't do, especially during the negotiation. So, yeah, maybe we're being a bit cautious until we understand that going forward. But I'd say that would be certainly the Agrium view today as we think that there is going to be decent demand growth in North America, potentially India, and China is really the question mark, which is to be determined post-China signing the contract.
Operator: Our next question is from Matthew Korn from Barclays. Please go ahead.
Matthew J. Korn - Barclays Capital, Inc.: Hi. Hello, everybody. So you seem to acknowledge the overall global crop price risks in your outlook and I asked a peer that appreciate your take. If we do see increased corn acreage, we see a wet kind of warm trend continue over the growing season. Are we setting up for a leg down in grain and oil seed prices, if we have a strong fall harvest? So is the hope really for a market that's going to snap aside of the current commodity price trajectory that will have a trending good weather to the spring, good application season. But that for whatever reason, that will break in the summer and we'll see yields finally come down after three or so very strong years?
Charles V. Magro - President, Chief Executive Officer & Director: Yeah. I'll give you my two cents, Matt, and then, I'll ask Steve Dyer who is really quite close to the growers, give his opinion. So, you're right. We've had three years of solid harvest, basically around the world, but in North America specifically. And so, statistically speaking, will you see a fourth? Well, I don't know. You guys read the weather reports as well as we do, you've got El Niño right now, which is warm and wet, which if it dries out, we could see an early spring. There hasn't been a lot of snowpack to really deal with, and actually sitting here in Florida, certainly our Retail business is moving quite well in the Southern plains. So, it's too early to tell, but when we look at crop pricing, what we would say is that they've been stable for some time. I don't think that there is too much movement with energy as some people have predicted, and we don't see another tick down, but it's going to depend, of course, on how we move through the spring season. Maybe, Steve, just what are you hearing from the farming community?
Stephen G. Dyer - Senior Vice President, President-Retail Business Unit: Yeah. Matt, just to add to Chuck's comments, really, at this point, we don't see any major moves in crop prices. That's really going to come down to if we – any kind of movement would be associated when you get to harvest. So, that's late in the summer. And then the other thing I'll remind you is, we do have a lot of diversity in the crop that we're servicing as well. We talk a lot about corn and soybean but you look at the mix of canola, wheat, all the specialty crops we serve, and that provides us a lot of stability as well as one commodity is down and other can be up significantly in there. And we actually saw that through 2015 with some of the specialty crops what we call through the Horseshoes or through California, Texas and Florida area. So, we have that going on as well. So, again, we see stability in crop prices and we'll see how things turnout in terms of the harvest when we get into that August timeframe.
Operator: Our next question is from Don Carson from Susquehanna Financial Group. Please go ahead.
Don Carson - Susquehanna Financial Group LLLP: Yes. Couple of questions on nitrogen. Can you tell us what's your nat gas hedge position is, how much is hedged? What cost, both for 2016 and 2017? And then you did get your operating rate up this year. I think your 12-month average is 89%. What's the ultimate goal under your Operational Excellence program. And then finally, with weak C$, are you seeing any resistance to maintaining your normal price premiums in the Western Canadian market on nitrogen?
Charles V. Magro - President, Chief Executive Officer & Director: I'll have Harry Deans take those questions, Don.
Harry Deans - Senior Vice President & President, Wholesale Business Unit: Hi, Don. Yeah, currently our hedge position is at 25% (40:06) now we've got this natural hedge, which equates to about 18% versus our industrial customers where we pass through the gas prices to them. If you look at the actual price that we are paying in the quarter on hedge position, on a ACO (40:21) basis, it's about US$2.70 per MMBtu. But if you look at what we're actually buying today for the rest of that volume, we buy that on a daily basis, we're buying that at roughly, roughly US$1.06 per MMBtu.
Don Carson - Susquehanna Financial Group LLLP: And the utilization rate, what's your vision Harry?
Harry Deans - Senior Vice President & President, Wholesale Business Unit: So, utilization rates on the assets, our vision is that we're going to continue to push them, as Chuck said, continue to push out utilization. For us, it's all about tonnage, the more reliable the plants are, the more efficient they are, the more reliable they are, the more we can optimize. So, in terms of utilization rates for ammonia for 2016, we're pushing it to around about 94%, for urea up as high as 96%, and for potash, as we spoke about earlier, we are aiming for 2.5 million tonnes of production.
Charles V. Magro - President, Chief Executive Officer & Director: Yeah. Don, the way I would describe it is, I think we've got very good utilization rates now compared to nitrogen producers around the world. Now we want to get into that best-in-class, or maybe even enter where the chemical, petrochemical producers are, and that's where Harry's background is from, he is a petrochemical guy, and he is going to bring that thinking into our Wholesale business, so we are quite excited to have him. Your last question was on the Canadian dollar and margin. So, in Wholesale, what I would say is, we haven't seen compression in our product margins, the premium does help, that's more of a function of the transportation differential, and we have seen some pressure at the Retail level, which Steve Dyer you want to just highlight?
Stephen G. Dyer - Senior Vice President, President-Retail Business Unit: Yeah. And just a remainder to what Chunk alluded to is, the Canadian dollar fertilizer price is set based on what the NOLA price is, the distribution cost and the exchange rate. So, it's real-time changes to what the exchange rate is. Then on the Retail side, we have our margin from the retailers to the grower, and we have seen some pressure there. We had quite a bit of pressure last year with the quick move in the Canadian dollar. We do see hopefully probably little more stability in the Canadian dollar from that standpoint. So, we do expect to have improvement in margins going through 2016, but we have had a little pressure there.
Operator: The next question is from P.J. Juvekar from Citigroup. Please go ahead.
Daniel Jester - Citigroup Global Markets, Inc. (Broker): Good afternoon, guys. It's Dan Jester on for P.J. I just wanted to kind of square couple of the comments you've made today. I guess we've talked about the pent up demand going into the spring, particularly for nitrogen. You've also talked about fertilizer prices are very affordable for the farmer at today's prices. But in the press release you also talk about how potash and phosphate demand in the first half might not be fully made up. So I was wondering maybe you can talk about those two nutrients and what you're seeing for the spring?
Charles V. Magro - President, Chief Executive Officer & Director: Yeah. Dan, I'll have Steve Dyer talk about that. It's really a function of just how efficient we can transfer what happens unusually in a fall application window to a spring application window when there's a lot more going on. But, go ahead Steve.
Stephen G. Dyer - Senior Vice President, President-Retail Business Unit: Hi, Dan. Yeah, at this point, what we're seeing is our expectation is application rates for P&K should be fairly normal, that's going to be a little dependent on the season and how well it opens up. But at this point, we don't see a tremendous amount of negative pressure there in terms of application rates. So we expect them to be again pretty normal.
Operator: Our next question is from Sandy Klugman from Vertical Research Partners. Please go ahead.
Sandy H. Klugman - Vertical Research Partners LLC: Yeah, hi. Thanks for taking my question. So quick question on the Echelon platform. I'm wondering what your expectations are for monetizing it and where do you think growers are seeing the greatest value in the services you offer?
Charles V. Magro - President, Chief Executive Officer & Director: Steve Dyer?
Stephen G. Dyer - Senior Vice President, President-Retail Business Unit: Yeah, Sandy. And in terms of our Echelon, today we're touching over 20 million acres in terms of what we're doing with the different offerings we have underneath that. And as I talked about before, really there is three ways that we drive value from, I'll call it precision agriculture on our Echelon overall. The first, in some cases we do direct charge for some of our offerings. It's probably the smaller component, everything from soil sampling to other services we provide like that. Then the second avenue is really what I call how we pull product through and we have offerings like our satellite imagery or a petiole test we do that type of thing, which – and I'll use our petiole test is one I use quite often where we take a tissue sample of the plant and look for the nutrient deficiencies and recommend our level of nutritionals. And 70% to 80% of the cases we have a sale that comes with that, that testing that we do as part of our overall precision ag offering. And then the last piece is putting all these services together to provide a total solution as well. And so, we may be doing the soil sampling, the fertilizer application, and doing the mapping and the variable rate application is all part of that, which is all bundled into one pricing that we're offering with that service as well. So, there are those different avenues that we do drive value from it, but again, today, we're very pleased where it's heading. Again, we're touching over 20 million acres today and we're looking to continue to grow our offerings that we provide to the grower.
Charles V. Magro - President, Chief Executive Officer & Director: And Sandy, just a little bit more to maybe a different element of where I think the future is going to take us. If you look at some of the hot topics that are being talked about at TFI down here in Florida, the biggest – two of the biggest issues is nutrient runoff into the environment and climate change. And as you know, governments are getting very active on both of those fronts. And so, there is clearly yield benefits for the farmer to use our platform, but there is going to be more and more I think use from an environmental perspective to demonstrate the reductions in terms of emissions whether they're into waterways or airways and the Echelon technology is built to do that for them. And so, as the trend continues, I think with understanding what happens with nutrient runoff, I think they're going to see these applications really start to take hold.
Operator: Our next question is from Michael Piken from Cleveland Research. Please go ahead. I am sorry. Mike, are you there?
Michael Leith Piken - Cleveland Research Co. LLC: Can you hear me? Yeah. Hi. Just wanted to quickly delve back into the guidance and I just wanted to see, you talked about assuming some improvement in nitrogen pricing. But does your guidance assume kind of stable potash and DAP prices from these levels or are you also assuming any sort of seasonal fluctuations in those? Thanks.
Charles V. Magro - President, Chief Executive Officer & Director: Yeah. So the way we think about the guidance number is, of course, we guided Retail up. So we're expecting good growth for all the reasons we talked about; increased acreage, less application in the fall. So when you put all that together, we're expecting a healthy year when it comes to Retail. Then if you look at just the difference between what we delivered in 2015 compared to the guidance number that we put out, the difference is all nutrient pricing and there is a range there, and I've already mentioned that at today's pricing, you're going to get somewhere towards the bottom of the range. I don't want to get overly specific on what we assume for N, P or K. But if you move to the other end, the top end of the range, it would be pricing levels less than 2015, so we're not expecting a complete rebound in terms of 2015 to get to the upper end of our guidance range and then the midpoint would be somewhere in between and I think we probably need to leave it there today.
Operator: Our next question is from John Roberts from UBS. Please go ahead.
John Roberts - UBS Securities LLC: Thank you. The Wall Street Journal just had a story on cover crops. Would you expect that to stay small or increase materially, as the article suggested? And if it does increase materially, would it have any effect on your business?
Charles V. Magro - President, Chief Executive Officer & Director: Yeah. I wish we would have saw the article. But anyways, go ahead, Steve.
Stephen G. Dyer - Senior Vice President, President-Retail Business Unit: Yeah, it's – hi, John. Yeah, in terms of cover crops, again, I haven't seen the specific article that you refer to. If you look at our – we wouldn't expect any significant change from year-over-year. If you look at it, this year, we do expect higher corn as well as we had a lot of prevented plant acres, about 6 million down in the south as well, we expect those to come back in service. But again, the cover crops, we wouldn't expect a material change year-over-year.
Operator: Our next question is from Jeff Zekauskas from JPMorgan. Please go ahead.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Thanks very much. Can you comment on glyphosate market? And are farmers trading up or down when they are buying their corn and soybean seeds this year? And then, in your press release, you talked about your margins and seeds being very good in part due to strong supplier rebates. Can you explain what that means? I guess they are three questions in one.
Charles V. Magro - President, Chief Executive Officer & Director: Thanks, Jeff. And I think all three are going to go to Steve Dyer.
Stephen G. Dyer - Senior Vice President, President-Retail Business Unit: Hi, Jeff. I'll start off with glyphosate. If you look at it, glyphosate year-over-year pricing was down about 9%. Volume for us was very comparable and we do see that the pricing should be stable to the levels (50:37) going through 2016 from a glyphosate standpoint. And just a remainder, today glyphosate represents about 10% or 11% of our total margin on the chemistry shelve. So, as I've said before, it's become less significant than it has been in the past, if you go back five years, six years, seven years ago, and some of this being offset by dealing with some of the glyphosate resistance out there as well. And then from a seed standpoint, I think you had a couple of questions there. One was around trading down. What we expect is to see a similar situation to what we saw in 2015 and 2016. So you had some growers that were trading down to lower trade, that type of thing. Don't expect that to be any more significant than it was in 2015 or in 2016 that we saw in 2015 from that standpoint. And then I think your last question was around our margins and, again, we did see margin pressure. If you actually look at from 2014 to 2015, we did have margin pressure. We expect margins to be similar into 2016, so a similar type of pressure that we saw in 2015. So, in the quarter, it was just really a timing of rebates. But if you look at our overall margins, they were down slightly in 2015 and partly that was driven by some of our market share growth as well. We had very strong performance both on corn and soybean where we are up 5% or more on both those in terms of number of units that we sold. And if you look at corn, corn acres were actually down last year. So we are very pleased with our market share growth that's probably put a little bit of pressure on margins as well from our standpoint. So, hopefully, I think that covers all your questions there.
Operator: Our next question is from Charles Neivert from Cowen. Please go ahead.
Charles Neivert - Cowen & Co. LLC: Morning – afternoon, guys. One quick question. With the New Brunswick closing from PotashCorp, how much products might be transferred back into Canpotex? And so, I guess, New Brunswick was not part of the Canpotex sales, so any sales out of Saskatchewan that were international would come into Canpotex. How many tonnes do you think comes in? And then second question is, you guys have finished all your additions, your others have not. When they're all finished, assuming they do what they plan to do, where are you guys going to be in terms of percentage of Canpotex by, let's say, end of 2017 or early 2018 whenever everyone finishes proving runs in terms of percentages?
Charles V. Magro - President, Chief Executive Officer & Director: Hi, Charlie, it's Chuck. I'll take those. So rough numbers, New Brunswick will be – the new tonnes coming into Canpotex will be about 700,000 tonnes. I'd just remind you that along that will come established customers that will be moved to Canpotex. So that's good news. As well as there's significant now port flexibility and logistics flexibility for Canpotex that we have access now to go east and west now, which we're quite excited about. So, a real good move I think for Canpotex. Canpotex is quite excited to have the incremental capacity as well as the supply chain flexibility come into their organization. When everything is said and done, we'll have to wait and see how these Canpotex proving runs go. They're not easy, they're not for the faint of hearts. But when we do back of the envelope math, which is all I can give you until things are said and done, I think we'll be just probably sub-10% sort of where we think we'll end up. But that number will move around depending on how successful others are in their runs.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time.